Operator: Good afternoon, and thank you for joining us today to discuss OptimizeRx first quarter ended March 31, 2016. 
 With us today are the company's Chief Executive Officer, William Febbo; and its Chief Financial Officer, Doug Baker. Following their remarks, we will open the call to your questions. 
 Before we begin, I would like to provide the company's safe harbor statements. Statements made by management during today's call may contain forward-looking statements within the definition of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Act of 1934 as amended. These forward-looking statements should not be used to make an investment decision. The words estimate, possible and seeking and similar expressions identify forward-looking statements, and they speak only to the date the statement was made. The company undertakes no obligation to publicly update or revise any forward-looking statements, whether because of the new information, future events or otherwise. Forward-looking statements are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. Future events and actual results could differ materially from those set forth and contemplated by or underlying the forward-looking statements. The risks and uncertainties to which forward-looking statements are subject and could affect our business and financial results are included in the company's annual report on Form 10-K for the fiscal year ended December 31, 2015. This form is available on the company's website and on the SEC website at sec.gov. 
 I would like to remind everyone that today's call is being recorded, and it will be available for replay through May 30 starting later this evening. Please see today's press release for replay instructions. 
 Now with that, I would like to turn the call over to the Chief Financial Officer of OptimizeRx, Mr. Doug Baker. Sir, please proceed. 
Douglas Baker: Thank you, Vicky, and I'd like to thank everyone else for joining us on today's call to discuss our results for the first quarter of 2016. Following my financial review, Will is going to comment on our operational performance and provide our outlook for 2016. 
 Now turning to our financial results for the quarter. Our net revenue in the first quarter of 2016 increased 18% to $1.8 million versus $1.5 million in the same year ago quarter. The increase was due to increased promotional of pharmaceutical brands and expanded distribution channels. Operating expenses in the first quarter of 2016 were $1.2 million as compared to $800,000 in the same year ago quarter. The increase was primarily due to an increase in expenses related to growth initiatives, including investments in the company's executive and sales teams and related marketing and travel. Since the first quarter of 2015, we've hired several key executives, including a Vice President of Client Services; a Senior Vice President of Business Development; and an additional Vice President of Sales; and of course, Will, our new CEO. Our net loss in the first quarter of 2016 was $352,000 or $0.01 a share as compared to a loss of $111,000 or $0.00 per share in the same year ago quarter. 
 Turning to the balance sheet. Our cash and cash equivalents totaled $7.5 million at March 31 as compared to $8.2 million at December 31. The decrease in cash and equivalents was due to the payout to our former CEO for shares owed to him from prior years in lieu of actually issuing those shares. Without that payout, our cash would have been increased slightly during the quarter. We also continue to operate debt free. 
 Now with that, I'd like to turn the call over to Will. 
William Febbo: Thanks, Doug. Thanks, everyone, for joining us today. 2.5 months into the position, I remain very positive on the opportunity we have with our clients, our channel partners, investors and the team. The first month was spent meeting with the majority of the community mentioned above and learning how they all interconnected. My hat is off to the operational team and former leadership at OptimizeRx for setting the stage for a very scalable business in a very new and evolving digital health channel. The dramatic shifts that are happening between drug manufacturers, payers, hospitals, healthcare professionals and patients are hard to predict and are hard to participate within given the complexities. The good news is OptimizeRx is well positioned with its channel partners to bring value to all constituencies through its products and services. 
 For those of you who are new to our story, we help our clients automate their co-pay savings and trial voucher programs by using our proprietary on-demand content delivery platform. Through this platform, they're able to reach more than 250,000 healthcare providers via our network of more than 350 health -- electronic health record companies through a series of exclusive partnerships. The eCoupon or financial messaging is our dominant product through this channel. Our platform enables our clients to connect with healthcare providers at point of care. This is critical as it's hard for sales representatives to visit the healthcare providers each year. This, coupled with the fact that electronic prescriptions are likely to exceed 2 billion in 2016 and that studies indicate that 80% of physicians are more likely to prescribe a drug that has a co-pay savings card versus one that does not, allowed us to become a trusted partner bringing value across the board. These market trends and growing demand by our pharmaceutical partners was clearly evident in our strong results for the quarter, including more than a 16% increase in promotional transactions and 18% top line growth year-over-year driven, primarily by our financial messaging product also known as eCoupon. These results also reflect the addition of more pharmaceutical manufacturers and brands through our platform. In fact, we distributed eCoupons for 73 different brands in the first quarter of '16, which represents an increase of more than 28%. 
 Prior to jumping into my priorities, 2.5 months in, I want to give the listeners some context on the total available market, a.k.a. TAM. There are approximately 650 retail pharma brands with traditional coupon programs. Our current coverage -- I'm sorry, our current average eCoupon program is $125,000. This ASP was established prior to our strategic investment by WPP and prior to our plan to offer new products and services to our existing client base and brands. Given these bands and the ASP potentially reaching $300,000, it is clear we have a major growth opportunity in front of us. In our favor are many things: first-mover advantage, limited competition, very high barrier to entry given the fragmented nature of the EHR space and our strong balance sheet and great team. 
 With all that, less than 3 months in, I see 4 key priorities to pursue in 2016 and beyond. The first is expand our leadership position as a technology-based aggregator by introducing new products and services for our existing client base. In particular, we plan to expand our suite of products and services from principally financial messaging, the eCoupon I mentioned, to include clinical messaging and brand support. We will continue to grow financial messaging as the lead product, as it has the most momentum and is one of the top 3 products healthcare providers want to be delivered to patients through the EHRs. 
 We will also grow clinical messaging by leveraging our exposure through media companies owned by WPP, the world's largest media company. Messaging, both financial and clinical, are highly accepted means of marketing within pharma. However, the EHR channel is relatively new. It will take education directly with our clients and through various agency partners to get further adoption within pharma. Part of that education, I recently spoke in a room of over 40 pharma clients with one of our partner agencies. And the message we delivered was it's not too late today to plug in this channel, but it will be this time next year, and I think that resonated. That sentiment was echoed by others, like Practice Fusion, who was with us that day, and several leading pharmaceutical companies who happen to be clients. We backed our statement up with the fact that HCPs, healthcare providers, are spending up to 4 hours a day on the EHR. This is a tectonic shift in the industry. Additionally, we plan to pull together what have been relatively disparate services we call drug file integration, sales force training and return-on-investment services into a new practice called brand support. In 2015, that was approximately $0.5 million in revenue, to give you some context. The justification to this shift is to bring focus and more coherent value propositions to our clients. Through this service, we help our pharma clients audit their formulary within the EHR ecosphere, which is the key to adoption and/or prescription of any given drug or device. We will announce more on this effort in the coming months and track it going forward. 
 The second key priority, while more operational, is rounding out our leadership team, sales team and marketing plan to demonstrate leadership to our clients and channel partners. This will include people focused on sales, product as well as message -- managing and expanding the EHR channel. During Q1, I implemented initial changes to the team, an effort to increase the intensity and account management needed to compete in our space. Terry Hamilton, our SVP of Sales and longest-standing team member, added an additional VP of Sales on the East Coast who joined us from of a very entrenched provider of pharma services. This is a positive sign and strong endorsement that we have a unique and needed value proposition to pharma. We plan to add more salespeople throughout the year. We also reorganized operations, with a senior manager overseeing all day-to-day operations in Michigan, so myself and the other leaders could focus more time on client and channel expansion to drive revenue growth. Lastly on the team, we put into effect a new CRM managed by objectives, clear goals and a tracking system so we have accountability and transparency along the way. 
 The third priority is to enhance our proprietary technology to improve margin and get beyond the perception of a 1-product company. After conducting an audit on our technology, while very solid, we decided to increase the investment to add additional functionality in reporting to further relevance with our clients and channel partners. Again in the coming months, we will have several announcements around these efforts. I'm very excited about them. We have the beginnings of a strong channel with our partners. We now need to bring services, technology and innovation, which are acceptable to the healthcare providers. In a recent survey by Manhattan Research, healthcare providers are comfortable with financial assistance, patient education, clinical messaging and e-authorization services. It is our plan to bring all those products and services to our channel partners for the manufacturers. 
 Lastly, we will bring focus and investment to securing additional distribution points for our existing client base. During our year-end conference call, we spoke about our new partnership with TrialCard, the largest provider of patient access programs in the industry. We believe we'll have some tangible results generated from that relationship in Q2 and Q3. James Brooks, our SVP of Channel, has stepped up our activity in managing our existing channel partners and has a very encouraging pipeline of new partners, as we also plan to work closely with our ERX partners to get better reach into the HCPs. These are the companies that bring the e-Prescription platforms out to the EHRs. 
 Additionally, for those of you who saw our press release last week announcing our partnership with RxWiki, a rapidly growing healthcare company -- digital healthcare company with a network of 1,300 community pharmacies, this partner represents the natural extension of our business into pharmacy as additional distribution of eCoupons. The rationale here is so we can deliver our services to retail and specialty pharma products. We will be hiring additional support for our channel partners over the coming months, as this distribution is fundamental to our growth. 
 In the first quarter of 2016, we continued to integrate our eCoupon functionality within all of Allscripts platforms, including Touchworks. We're working closely with Allscripts and their Touchwork integration, and they are meeting their milestones. We are working with them to incorporate many of these lessons we have learned into Touchworks, and we expect that Touchworks workflow related to eCoupons to be very impactful and give us additional reach into the HCPs. The integration of eCoupon functionality within Touchworks is on track to launch its test basis in late 2016 and then on a wider scale in early 2017. 
 In summary, we have several exciting priorities focused on product, team, technology, channel and channel extension to drive continued top line growth. I expect the second half of the year to show considerable revenue lift based on all of these focused efforts. And I will reiterate again, as I did last call, we are focused on top line revenue growth with an eye on judicious use of cash. I look forward to keeping everyone up to date between earnings calls with press releases and speaking events. 
 Now with that, I'd like to open the call to your questions. Vicky? 
Operator: [Operator Instructions] First, we'll go to Brian Murphy with Merriman Capital. 
Brian Murphy: Solid quarter. And it sounds like you have a -- you have some nice momentum here. Will, it sounds like you're going to be making some pretty aggressive moves here in terms of evolving the product offering. I'm wondering with respect to the product extensions that you mentioned, I'm curious how your partnership with WPP and your closer relationships with agencies in general is informing that new product development and whether or not you think that gives you a unique view or competitive advantage into a very sort of fragmented and complex ecosystem here? 
William Febbo: Brian, thanks. Good question. We -- yes, it's very informed by our partners and our exposure into the media companies. And for the other listeners, the media companies are trusted advisers with pharmaceutical companies generally at the brand level, and they help them determine how best to allocate their spend. And so, obviously, a lot of vendors try to get in there and present their value proposition. Well, given our partnership, we obviously have a seat at the table with the leading agencies in the world. And so when I look at -- when we look at the brands that they help manage, those that we're already tied into, yes, I see a lot of room for improvement. And what we realized through some of that learning over the last few months is we just weren't positioning ourselves to service that terribly well. So we're adjusting that with good advice and getting a strong reaction. They control a lot of the access to those budgets, and therefore because we're invited into advise and recommend campaigns, it's a tremendous opportunity for us. 
Brian Murphy: Do you think those partnerships give you a good angle on capturing more of the clinical messaging business? 
William Febbo: I do. Some of the studies -- and you can Google this because it's -- a lot of it has been published now, is -- at the end of the day, our partners enable us to bring technology to the doctors principally. And so if you're bringing something they're not interested in, that doesn't last long. So when you look at what doctors are most interested in, it's obviously efficacy. Helping their patients is number one, educating their patients and helping their patients save money. And inside the education, you bring clinical messaging and patient education. And so obviously, we don't develop drugs, right? So we can't do the first one. But the second 2 most important, we're squarely in that space. And so I feel comfortable we're enabling content to get to the healthcare provider, which gets to the patient, and that certainly helps our partners work with us a little faster because we all win in that case. 
Brian Murphy: Okay, great. I'll ask one more quick one and then jump back in the queue. The large urology EHR that had the integration issues last year, is that still estimated to be back online in the second half of '16? 
William Febbo: It is still estimated to be on in the second half, yes. 
Operator: [Operator Instructions] We'll go next to Harvey Poppel with Poptech, LP. 
Harvey Poppel: Will, couple of things. In the past, you and your predecessor have commented about trying to upgrade the listing of the company, get it into a market where there's more liquidity and more, I guess, prestige. What's your plan on that? 
William Febbo: Harvey, I appreciate the compliment coming from you and the support you always gave. Yes, relative to uplisting, I think we talked a little about it in the last call. I'm a big believer in -- you kind of earned that spot, and if you don't earn it and you force it, it's expensive and dilutive. So I really have my head down with the team on working on growth and really cementing an additional partnerships and distribution; because if we're attractive now and we were able to do that, we're going to be very attractive a year from now. And so I think we'll be able to entertain that. But right now, I think that would just be a distraction to me, and what we really have to do is capture market share now because it's really early. 
Harvey Poppel: Okay. And do you feel there's additional opportunities to exploit the existing base of brands and the EHRs that you have in terms of getting additional revenue out of that base? 
William Febbo: Yes, that was my initial -- again, it's 2.5 months in, so I don't want to get ahead of my skis. But I do think that if we just look at what we've built for the eCoupons, financial messaging and we bring clinical messaging and brand support to that, then that's the same buyer -- the same value proposition to the same buyer with the same general partner. So that's really, I think, our most -- that's the easiest way to growth and obviously that doesn't mean we're still trying to grow distribution and get more brands. But yes, I think those 2, the clinical messaging and brand support, will give us a lift from the traditional business of eCoupon. 
Harvey Poppel: But is that only a one-way street? In other words, from the clients that you're currently providing eCoupons to, you could sell them additional messaging types services. But will the availability of messaging services help you attract the additional brands for eCoupon, do you think? 
William Febbo: Absolutely. Matter of fact, the messaging is probably a bigger budget, if your roll it all up. So I think we're little late to the game on messaging. And so I think we're going to have a lot of room for growth, but it will also give us a little bit more heft in front of pharma clients because they do like it when you have more business with them; they feel more confident. So I do think it'll help us lift the eCoupon side as well, yes. 
Operator: [Operator Instructions] We'll go next to Ron Jones [ph], a private investor. 
Unknown Attendee: And amongst the opportunities that you have, how do you rank them the first 2 or 3? I think you did a bit of that expanding budgets for brands, additional brands, additional EHRs. What are the 2 most important complementary elements? 
William Febbo: So from my view. the -- and the team's view is we've got a really solid set of about 25 pharma clients, and we've undersold this clinical messaging product. So we're going to push hard on selling that into that same channel. So that's a priority, and there's some technology lift to enable us to do more of that ourselves working -- as opposed to working through partners. So that probably priority #1. And then just to create more of a leadership and trusted position with pharma, the brand support service is important because that allows us to really help the brand manager train their sales force on how to talk to physicians about the EHR space and also make sure their formulary is correct, which at the end of the day is critical. So I'd say those 2 are the key priorities in terms of revenue growth. 
Unknown Attendee: And is your return on investment here for a brand manager in good order? Got a good [indiscernible] story? 
William Febbo: It is. As many may know, we are often asked to do an ROI; and we bring in a third party for that, large consulting firms with household names. We pull the appropriate data; they run the report, and we present back. And we've had pretty consistent ROI. And it's a blessing and a curse. The blessing is the ROI is great. The curse is there are several things they spend a lot more money on that they can't get an ROI on. So it's -- but again, we're lucky that they're coming out on the positive side. 
Unknown Attendee: I would think it would be more of a blessing than a curse if you can have quantitative support to what you're trying to sell. 
William Febbo: Yes, the only thing we see sometimes is that they want -- they slow down to want to see an ROI. So that's the only negative. But they tend to -- they're -- we're starting to giving our sales team, how effective they are, they're -- convincing to let it roll while they do it. That's an improvement. And luckily, they usually come out on the good side. 
Unknown Attendee: And are you getting -- last question, are you getting -- do you have a goal and are you measuring it to see about getting more from -- to support individual brands? 
William Febbo: Yes, we implemented a CRM system where we're tiering our clients and brands based on volumes. So we go after the key accounts first and have a tier system and tracking it accordingly, and incentive compensation is connected to it. 
Unknown Attendee: And do you have evidence that you can get more from individual brands? 
William Febbo: Yes, we know from a macro standpoint through the agencies what the annual budget spend is, and we know what we're billing, so we can certainly -- we see room there for growth. 
Unknown Attendee: And last question, are you spending time trying to help Valiant? 
William Febbo: We don't comment on specific clients, but they are -- they're 1 of the top 50. And we're happy to help them, yes. 
Unknown Attendee: Do you do work with them now? 
William Febbo: Yes. 
Operator: [Operator Instructions] We have no further questions at this time, so I turn the call back over to Mr. Febbo. Sir, please proceed. 
William Febbo: Sorry, I was -- let me just see here. Well, I just want to say thank you for everyone calling in, giving us the support. I will continue to hammer as I have been for the last 2.5 months and very excited, as I said, about new products and services, the team, getting the technology shored up so we're really a best-in-class health tech company and then obviously increasing our client base and our channel partners. So with that, I appreciate your support. We all do, and look forward to talking to you in a couple of months. 
Operator: I would like to remind everyone that this call will be available for replay starting later today. Please refer to today's press release for dial-in replay instructions. A webcast replay will also be available via the company's website at www.optimizerxcorp.com. Thank you for joining us today. You may now disconnect.